Operator: Greetings and welcome to the First American Financial Corporation Second Quarter Earnings Conference Call. At this time all participants are in a listen only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] Copy of today’s press release is available on First American’s website at www.firstam.com/investor. Please note that the call is being recorded and will be available for replay from the Company’s investor website and for a short time by dialing 877-660-6853 or 201-612-7415 and entering the conference ID 13640685. We will now turn the call over to Craig Barberio, Director of Investor Relations to make introductory statements.
Craig Barberio: Good morning everyone and welcome to our second quarter 2015 earnings conference call. Joining us on today’s call will be our Chief Executive Officer, Dennis Gilmore and Mark Seaton, Executive Vice President and Chief Financial Officer. Some of the statements make today may contain forward looking statements that do not relate strictly to historical or current facts. These forward looking statements to be growing as of the days they have made, and the Company does not undertake to update these forward looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made. Risks and uncertainties exist that may cause results to differ materially from those set forth in these forward-looking statements. For more information on these risks and uncertainties please refer to the today’s earnings release and the factors discussed in our form 10-K and subsequent SEC filings. Our presentation today contain certain non-GAAP financial measures that we believe provide additional insides and the operational efficiency and performance of the Company relative to the earlier period and relative to the Company’s competitors. For more details on these non-GAAP financial measures including presentation with and reconciliation to the most directly comparable to GAAP financial measures, please refer to today’s earnings release which is available on our website at www.firstam.com. With that, I will now turn the call over to Dennis Gilmore.
Dennis Gilmore: Thanks, Craig. And good morning and thanks for joining our call. I will begin with a review of our second quarter highlights and conclude with a few comments on our outlook for second half for the year. The positive momentum in our business continued into the second quarter. Our EPS was $0.92, up from $0.85 last year. Our strong results were driven by its higher segment, which delivered a free tax margin of 13.7%, the highest in the Company’s history. Our margin in this quarter benefitted from our ongoing focus on operating efficiencies, a favorable title claims rates and the continued recovery of the housing market. And our residential business purchase revenue grew by 5% nearly all this growth was driven by higher average revenue per order. Our quarter's purchase orders were essentially flat compared to last year with many areas of the country continuing to experience assurance of housing inventory. Refinanced revenues were up 2% during the quarter, lower interest rates drove our refinance volume up 20% relative to last year, which will add significantly to our order pipeline going into the second half for the year. Our commercial revenues were down 2% in the quarter. Despite global uncertainties, our commercial business continues to see broad based strength across the majority of asset classes and geographic markets, and we continue to experience healthy levels of transaction activity. Revenues in our special insurance segment grew by 7% during the quarter. However, we experienced higher claim losses in our home warranty business, which caused a segment pretax margin to decline to 5%. In May, we announce the termination of our pension plan, the Company currently incurs expenses of approximately 22 million per year related to this legacy plan. When the termination of the plan is complete, we anticipate saving a singular amount going forward. Mark will provide more details on the pension termination in his remarks. Turning to the outlook, the low interest rate has triggered a surge in refinance orders. So far in July, our refinance orders are running at approximately 2,800 per day, up 90% compare to last year. It is all known how long this elevator refinance volume left, but it will help to offset the normal season decline in purchase orders. To mid July, our purchase business remains essentially flat relative to last year, and we do not expect the low interest rate environment to have a material impact on the purchase market for the remainder of 2016, and we anticipate the normal seasonal trends will prevail. Finally, our commercial business is poised for another good year even we expect our revenues to be down slightly from the 2015 peak. I believe the Company is well positioned for 2016 and beyond. We remain focused on driving operating efficiencies and gain in profitable market share and our core title business to maximize long term profitability as part of our ongoing commitment to be the premier title insurance and settlement service provider. I'd now like to turn the call over to Mark for more detail review of our financial results.
Mark Seaton: Thank you, Dennis. Total revenue in the second quarter was 1.4 billion, up 3% compared with the second quarter of 2015. Net income was 102 million or $0.92 per diluted share. The current quarter results include net realized investment gains of 8 million or $0.05 per diluted share. In the title insurance and services segment, direct premium and escrow fees were up 1% compared with last year. This increase was driven by a 3% increase in the average revenue per order, partially offset by 1% decrease in the number of orders closed. The average revenue per order increased to $1,972, primarily due to higher residential real estate values. The average revenue per order increased 5% for purchase transactions, and 2% for commercial transaction. Agent premiums were up 3% reflecting the normal reporting lag of agent revenues of approximately one quarter. The agent split improved 50 basis points to 78.3% due to a shift in geographic mix. Information and other revenues totaled 182 million, up 1% compared with last year. The increase was driven by acquisitions offset by lowered demand for the Company's default information products. Personal cost were 390 million, up 2% from the prior year, excluding acquisition this increase was primarily due to the higher salary and stock based compensation expense, offset by lower incent of compensation. Other operating expenses were 196 million, up 1% from last year. The ratio of personal and other operating expenses to net offering revenue was 71.6%. The provision for title policy losses and other claims was 57 million, or 5.5% of title premiums and escrow fees, compared with a loss provision rate of 6.6% in the same quarter of the prior year. During the second quarter, our paid title claims still 18% from the prior year. Pre-tax income for the title insurance and services segment was 172 million in the second quarter compared with 155 million in the second quarter 2015. Pre-tax margin was 13.7% compared with 12.6% last year. Turning to the specialty insurance segment, total revenues were 104 million, up 7% compared with last year. The loss ratio for the segment was 55%, up from 60% primarily due to a higher contract servicing cost in a home warranty business. Pretax margin for the segment was 5%. Net expenses in the corporate segment were 24 million, down 1% driven by lower cost relative to the Company benefit declines. The effective tax rate for the quarter was 33.3%, slightly better than our normalize tax rate of 34%. In terms of cash flow, cash provided by operations was 203 million, a decline of 13% from last year primarily due to an increase in tax payments. Debt in our balance sheet totaled 579 million as of June 30. Our debt consists of 546 million of senior notes, 29 million of trustee notes, and 5 million of other notes and obligations. Our debt-to-capital ratio as of June 30 was 16.4%. And we have the entire amount available under our 700 million revolving credit facility. And mainly now the termination of our pension plan, giving the legacy nature of the plan and the uncertainty of future interest rates, investment returns in other factors, the pension was terminated. Over the next 12 months, we will provide additional tax contributions so the pension plan has sufficient assets to fully meet its obligations to all participants. The amount of these cash contribution will depend on a variety of factors, but we expect these additional contributions to be approximately $100 million. As of December 31, 2015, we reported unrealized losses of 197 million before tax in accumulative of other comprehensive loss on our balance sheet related to pension plan. These unrealized losses as well as other expenses estimated to be 50 million will be recognized in the Company's income statement in two separate quarters. Although, the ultimate amounts are currently not determinable, we expect to recognize a loss of approximately 81 million in the fourth quarter of 2016 and distributions are made to certain participants, and an additional 131 million by the end of the third quarter of 2017 as all remaining liability transfer. This transaction will have a negligible effect on stock orders equity since the unrealized losses already reflected in the balance sheet. Once the termination process is complete, we expect an annual reduction of approximately 22 million in personal expenses within the corporate segment based on the level of these expenses in the first half of 2015. I would now like to turn the call back over to the operator to take your questions.
Operator: Thank you. [Operator Instruction] Our first question is from the line of John Campbell with Stephens. Pleased proceed with your question.
Hayden Blair: This is Hayden, congrats on the good quarter. Quick question on the agency business, we are hearing the same sort of geographic shift to commentary from the competitor. So, I am just wondering for you guys, what are some of the moving pieces shaping that agency strategy moving forward? And what would it take for you guys to or would you even want to grow that business at a similar rate as we are seeing at some of your peers?
Dennis Gilmore: Well, first, a couple of things for that question, number one, we are really excited about our agency channels and what's going on there. With regards to growth, we had a very good quarter, and I think that trend will continue actually I am very optimistic looking into the third and fourth quarters. If you recall, we take our agency revenue on a cash basis, so our refinance orders are going up significantly, so I think that bodes well for the third and fourth quarter for the agency book. Specifically to local market conditions, we are always looking at the profitability of any markets, our returns, our risk profile, and we adjust accordingly. So I think, there is a lot of opportunity for future growth. But at the same time, we'll control some of our markets too. I'll give you an example In Utah, the risk profiles have changed in Utah. So that’s a market that we're probably going to shrink a little share. We are going to focus in on only the most, well capitalizations in that market, and that’s just an example, we are always going to kind of tune the dial depending on profitability and risk.
Hayden Blair: And then one more with the recent revisions of the MBA estimates, I am wondering if you guys feel any different about the potential to hit the high end of that 10% to 12% pretax margin, the origination market is now projected to be up year-over-year?
Dennis Gilmore: Well last year we -- during our Investor Day, we disclosed that we are trying hit this 10% to 12% margin goal and we did that last year. And last year, we had a 10.2% margin. So far for the first half of this year, we are exceeding where we were in the first half of last year in terms of margin and so we are going to continue to try to move up to the higher end of that 10% to 12% margin range. So the fact that we are getting a little bit of refi help certainly helps us in that regard.
Hayden Blair: And so would you say, it's as much of a function of overall origination volume as it is the purchase refi mix or what's going to kind of be the better driver of that when we look on kind of the multi year basis?
Dennis Gilmore: I would say, it's both but I would say if I had to pick some of more important just the overall level of originations. I mean, we love the purchase market, but we like refi too. So the overall level of origination is certainly a factor. Our purchase business is typically higher margin than our refinance business so that helps us, but will take refi all day long.
Operator: Our next question is from the line of Jeremy Campbell with the Barclays. Please proceed with your question.
Jeremy Campbell: Just to piggyback on that one again -- again, in the first half of last year you guys didn’t really have to much up as much to meet those refi volumes as you maybe you had in the past. With refi volume up 90% year-over-year in July, what is the outlook on having to kind of staff up to meet those type of levels? And how long do you think that, that kind of could persist through the remainder of the year?
Dennis Gilmore: Yes, thanks for the question. I don’t really anticipate us changing our staff levels much at all to handle the volumes. If anything it will probably just allow us to go with higher staff that we normally carry in the second quarter a little longer. We will probably deal with mostly through overtime in some temp support.
Jeremy Campbell: So, is it fair to say then that refi, elevated refi volumes could have a pretty positive impact under your margins for the back half?
Dennis Gilmore: I think, it's definitely going to help us, no question. We are heading into the slower time of the year from the residential standpoint. So clearly building a book going into the last half will help us. It allow depend on how long it last and what the closing ratios are, but clearly we are optimistic to see the benefit we are getting right now from refinance.
Jeremy Campbell: Great. And then just finally, with the cash contributions you have to make regarding the whole pension program or things like that, does that all preclude you from looking at opportunities to do since selective M&A in the market or you guys comfortable enough with your cash position and/or taking leverage up a little bit if something, if a big softball really fell across the plate for you?
Dennis Gilmore: First of all with the pension contribution, we think the right thing for the Company and we are looking forward to getting that complete over the next few quarters, wrapping up probably by the third quarter of '17. But no, it will not preclude us from pursuing any acquisition that we think are productive for the Company.
Operator: Our next question is from the line of Chris Gamaitoni with Autonomous Research. Please proceed with your question.
Chris Gamaitoni: I was wondering, you mentioned on the purchase order, I think year-over-year growth attributing it to shortage of housing inventory. I mean certainly a concerned, but I am struggling to find any geography where orders are down year-over-year, so I was just wondering if there is anything else going on, if it's a shift to more agent business and the purchase channel, is there any strategy to address the kind of purchase growth relative to market volumes?
Dennis Gilmore: Well, one thing I would say is that in terms of our purchase volumes, orders have been flat relative to last year. And it's really been like that out for the whole year. We don’t really think we are losing a significant share or anything like that. I would say that our orders that we get and that we disclose, those are from our direct business. And our direct business is very concentrated in the Western states. And so a lot of markets statistics that are higher than what our order counts are presenting are more national statistics. So, as a general rule as you know our East Coast is more agents dominate and our West Coast is more direct dominate. I’ll say that we have over the last 12 months, there have been certain offices in places like Oregon and Washington, and Kansas, where we had a direct opposition and we transitioned it to an agency operation. And we did that because a lot of these offices were really in rural areas and the economics were just better in these areas and the agency model than direct model. So that has had some, I would say minor impact on our orders, but it is the factor.
Chris Gamaitoni: Okay. Then on the on the specialty insurance business that’s we've had a couple of kind of quarters of increasing cost, is there plan to reprise customers on a next premier renewal? Or kind of what's the strategy to address that, should we expect the lower or higher combined ratios or do we think premium pricing is coming through?
Dennis Gilmore: A little of both to kind of a mix bag on specialty right now, the top line, we like it a lot, it's growing well. So, I think that trend will continue. But in our home warranty, we've had really two issues going on there, higher contract service cost and higher replacement cost for our equipment. So we really have a two-pronged approach. We're putting additional resource back into the contract now to kind of be beef that up, and we are seeking price increases now across the country. But that will take us probably a full year to see it flow through the P&L, because we have to go the renewal cycle. So two-pronged approach and I think that will get data as we go forward.
Chris Gamaitoni: Thank you so much.
Dennis Gilmore: It's just going to take a little time on that one.
Operator: Our next question is from the line of Mark Hughes of SunTrust. Please proceed with your question.
Mark Hughes: I wondered if you could talk about the potential for the policy loss ratio to come down a bit, last year your ultimate losses or your underlying losses were lower than what you had booked, what should we see going forward?
Dennis Gilmore: Well, last year we booked at 6.6% loss rates for the whole year and we felt comfortable enough to bring that loss rate down to 5.5 in the first quarter, and we really kept it at 5.5, this quarter. Claims are in line with our expectations this quarter. I think, it's more likely for the loss rate to come down rather than it to go up. I mean, it can always go up, if we had an extraordinary claim or something like that. But when you look at the actuarial data, our current policy or support something closer to a 5.0%. And we are just booking it kind of the conservative end of kind of a reasonable range of estimates. So we are comfortable with 5.5. That's what we see in the foreseeable future. But of course, we analyze our claims experience every month. And I have just said that I think it's more likely at this point the loss rate will come down and then go up.
Operator: Our next question comes from the line of Bose George with KBW. Please proceed with your question.
Bose George: First, the revenue from the information and other segment is up pretty nicely, can you give us any color on that, is there a data revenues starting to coming more meaningful there?
Dennis Gilmore: I've figured the few things happening there, the first is, we are seeing decline in that line item because of the default business just because of how the market has been ramping our default business within that line is down about 25% year-over-year. We are seeing an offsetting increase in our data business some of that organic and some of that because of some recent acquisitions that we have done in that basically nets to flat growth year.
Bose George: And then as we just turn back to the pension plan termination, the cash outlet is that the 100 million and then the 22 million annualize that you said, is that cash savings as well?
Dennis Gilmore: The 100 million in cash again that’s a best estimate, the 22 million of P&L so it's a little apples and oranges, but I would say over the last three years we have been putting in somewhere between 20 million and 25 million of cash a year into the pension plan. So they happened to be similar numbers but the 22 million is P&L.
Operator: Our next question comes from the line of Ryan Byrnes with Janney. Please proceed with your question.
Ryan Byrnes: Just looking with the pension, is that deal in place and in right price out, I am just trying to figure out if you can have any wiggles if interest rates move one way the other?
Dennis Gilmore: I would say the deal is not finished yet, no I mean there are some factors we are going to participants and offer lump sum payments. And the rate at which our participants will accept those lump sum payments is uncertain. After that then we are going to actually go out and buy newly contract for the liabilities and the pricing of that is uncertain. But the biggest factor in the pension is really is just interest rate. And once we made the decision to terminate the pension, we hedged our liabilities and in hindsight, that has been a big win for us because interest rates have come down quite significantly since we actually jump in, made the decision to terminate the pension. And that’s going to have the biggest factor on the funding requirements. So I think it is going to change, the 100 million cash is going to change, and the 197 million of P&L ultimately will change. But I don’t think, it's going to change that materially since we have basically hedged our liabilities at this point.
Ryan Byrnes: Okay, and thanks for the color. And then just quickly when your competitors announced this morning, they had done seven agency deals, just want to gauge your appetite for those type of deals and I think exactly just get your thoughts there?
Dennis Gilmore: Sure, we are a pretty full deal pipeline right now, looking at a lot of different kind of deals and that’s number one on our list to see if we can acquire agents that fit our strategic map, in our key states, we would be attracted to. So, we are looking at a lot of deals. I do think that trend will continue over the next 12 months.
Ryan Byrnes: Are there any geographies that you guys are particularly interested in?
Dennis Gilmore: We always focus in on the top five states in the Metro areas, but we would look at anything if it makes sense, but again we are focused primarily on the top five states.
Operator: The next question is from the line of Eric Beardsley with Goldman Sachs. Please proceed with your question.
Eric Beardsley: Just a quick follow-up on the specialty insurance, I guess as you go through this period just with the elevated cost, how do you think that the margins in that business on a go forward basis?
Dennis Gilmore: I think that's going to around a little less than it had over the last few years. Our second and third quarters will be our toughest quarter because of the weather and just the volume of claims will bounce back in fourth and first. So again, but we're putting resources into the contract network right now, so I think that will start to show some benefits for us the next couple of quarters. The pricing efforts that have been ongoing and will continue, we will start to see those benefits when we go through a full year cycle of policy renewal.
Eric Beardsley: Got it. Is this the right year-over-year trend to think about in terms of margin compression or was there more elevated cost just because of weather been more severe in the second quarter?
Dennis Gilmore: I guess from just to be a conservative position, take it as a trend we are going to hope to do better.
Eric Beardsley: Okay. So your third quarter then would actually be negative margins or you kind of at the same cost level that you were last third quarter?
Dennis Gilmore: It's hard to say because a lot of it is claims dependent. And when you're looking at our Specialty Insurance segment, we got our P&C business that we can always have in advance, but at this time, if you look at last Q3 of last year, we had a 1.10% margin. And we would hope to better than that of Q3 of this year, but a lot of it is dependent on our claims experience.
Mark Seaton: Great, I’ll just add again, what we always do on all of these type of businesses when we get little out of whack from a return standpoint, we are going to go to fix it operationally up from an operation standpoint, and we'll look to adjust prices to make sure we get the necessary returns.
Operator: Our next question comes from the line of Kevin Kaczmarek with Zelman and Associates. Please go ahead with your questions.
Kevin Kaczmarek: I guess on this specialty insurance as you phase in pricing much you lose a little volume, I mean you mentioned you expect that growth to continue above like it is but could it may be moderate on the top line because of this?
Dennis Gilmore: Obviously it's possible, but so far we haven't had volume reduction from price increase, but we will have just play that out as it goes. I think end of the day, we are going to make sure we get the necessary returns and that will be more important to us than volumes.
Kevin Kaczmarek: Okay. And I guess quickly on that information and other revenue, you guys mentioned international mortgage operations were up bit of drag in the release, is that from currency? Is that more of an organic headwind? I guess we expect that maybe to also drag in Q3? Or is that something that could reverse if currency is moved?
Dennis Gilmore: I would say, a little bit of it was currency related and more of it I would say just market-related. We have a really strong business in Canada. Canada represents roughly 75% of our -- even it maybe 80% of our international business. So we have got real strong position there. And we have also got a good position in UK and Australia. And those of the markets that are mortgage profits in revenue, which is in risk basis and somewhat down from last year. So a little bit of currency but more of it just sort of market driven.
Kevin Kaczmarek: Okay. And I guess on commercial orders, can you give us a sense of how it has been trending on a monthly basis, in terms of year-over-year improving or deterioration?
Mark Seaton: Yes, so on the open side, it's a little hard to tell because what really matters in commercial what we look at it, is sort of the average fee profile because it depends on the quality of voice, but really on a monthly basis. In April, in terms of open, we opened 520 orders a day. In May, it was 500; and in June, it was 490 orders a day. So they have been declining little bit, but I think what we look at more is kind of the quality of the underlying orders.
Kevin Kaczmarek: Is that, I guess when you consider -- were those closed orders?
Mark Seaton: That was open, yes, that was open orders.
Kevin Kaczmarek: Do have a sense and you're combining that with fee profile, do you have a sense of that kind of revenue trend throughout the quarter?
Mark Seaton: Well, our revenue in commercial this quarter was down about 2% from the second quarter of last year. The orders that we are opening now obviously going to close, in commercial too, it's not like they close on a consistent basis like the residential business where it's 50 to 60 days. We can have a commercial orders open today and won't close for six months. But generally speaking, I would say we feel good about the commercial pipeline, we are still getting good high quality deals in. But the orders that we are open now is we don’t really have a strong sense with the ultimate average revenue forward is going to be.
Operator: Our next question is from the line of Geoffrey Dunn with Dowling & Partners. Please proceed with your questions.
Geoffrey Dunn: I guess first, I think I just missed the tail end of your commentary about early July, if you could reiterate what you might be seeing in the first couple of weeks, please?
Dennis Gilmore: Geff, it's Dennis. Refinance orders are up strongly, we are up 90% from a year ago, running at about 2,800 orders per day now.
Geoffrey Dunn: How about overall?
Mark Seaton: Overall orders per day are about 5000 a day.
Geoffrey Dunn: And then on the agency front, Fidelity, yourselves, Stewart, all have been expressing an appetite for agency acquisitions with a full pipeline, I am curious to what you are seeing in terms of competitiveness for deals? Are you running up again other players in a competitive bit situation or is everybody pretty spread out to seeing reasonable pricing?
Dennis Gilmore: A couple of parts to that question, you do see competitive situations in certain transactions, but we are seeing price points that acceptable to us. So what we are looking at right now has a necessary risk adjusted return and when we look forward with it, if we close a deal. So not too bad right now Geff, and if the prices get too influenced, we would just not move forward.
Operator: The next question is from the line of Jason Deleeuw with Piper Jaffray. Please proceed with your questions.
Jason Deleeuw: On the title rate pricing changes, is there -- does that apply equally to purchase and refinance or there are any differences there?
Mark Seaton: I would say generally, we are getting more of a benefit as we purchase transactions. But we look at our average fee profile for refi, it really hasn’t -- it's a 1% or 2%, but it really has -- we haven't done the benefit like we did in purchase markets. So, I would say that most of our rates emphasis is in purchase business. I would say purchase title premiums as well as escrow.
Jason Deleeuw: Okay and then for the agent channel M&A activity obviously the title insurance companies the underwriters are more aggressive there but are the agents seem self? Are they more eager to sell? Is there have been some sort of a change maybe just with the increase regulatory requirements? Is there anything that’s driving agents to sell more so than you have seen in the past?
Mark Seaton: Not in my opinion, it just a normal ebb and flow of the business.